Operator: Good morning, ladies and gentlemen and welcome to the Swisscom Half Year Results 2017, presented by Urs Schaeppi, Mario Rossi and Louis Schmid. Louis, the floor is yours.
Louis Schmid: Good morning, ladies and gentlemen and welcome to Swisscom's first half year results presentation '17. My name is Louis Schmid, Head of IR. And with me are our CEO, Urs Schaeppi; and Mario Rossi, our Chief Financial Officer. The first part of today's analyst and investor presentation hosted by our CEO consists of three chapters, a quick overview of the Q2 highlights, our market and financial performance, then some explanations on Swisscom Switzerland and finall, an update on Fastweb. In the second part of the presentation, Mario runs you through the financials and the adjusted guidance for the full year. With that, I would like to hand over to Urs to start his part of the presentation on Slide 4. Urs?
Urs Schaeppi: Yes, good morning, ladies and gentlemen. We had a good, solid second -- first half year. And if you go to Slide 4, you can see that we were able to successfully defend our strong market position. From highlights on the chart, you can see that we have a strong perception in the market. We're judged as the best mobile operator. We showed that we're the technology leader in different areas on the fixed networks, but also on the mobile network. And also if you look to the cloud business, the awareness of Swisscom is to be a strong -- to have a strong position in the cloud business. This is important for the future, certainly also for our B2B business unit. The market performance is good. We have a good, solid market performance. We launched successfully our triple -- our quadruple-play product, inOne. And we have a stable customer base with the same dynamic as in the quarter before. Fastweb has an accelerating momentum in mobile. We were able to increase our customer base net adds in Q2 by 117,000 net adds. Financial performance is solid. You can see it and we're on track. With our guidance, we made an upgrade on the EBITDA level, because of an exceptional out of Italy. But overall, we're on track with our guidance. If you go on, on Slide 5. You see our market performance. Italy is at a stable revenue-generating base. In Switzerland, growing revenue-generating base. In Italy, broadband approximately stable. In Switzerland, TV is slightly up. In Switzerland, substitution elements in the fixed voice business, we have a decline of 159,000 voice subscription. The majority of them leave the market, they don't churn to our competitors, they leave the market. And let's say, stable or slightly positive momentum on postpaid. Fastweb growing base in broadband and mobile, as you can see on the right side of the chart. If you go to Slide 6, some information to the financials. The net revenue has 2 major elements in it, dynamics in it. In Swisscom Switzerland, we have a declining revenue. The majority of it compared on a year-on-year basis, is coming as a service revenue. We have CHF76 million reduced service revenue and this is mainly driven by roaming, by fixed line losses and some general price pressure. Enterprise revenues are stable, approximately stable. And on the right side of the chart, you see the development of the EBITDA. Overall EBITDA went up by CHF33 million on a year-on-year basis to CHF2.26 billion. Swisscom Switzerland, there you see that the impact of roaming on EBITDA level is CHF19 million and the impact of fixed voice line is CHF39 million. Through cost savings we were able to compensate the impact -- the negative impact on the service revenue level. Growth in Italy by CHF32 million. Some more information on Slide 8 to Swisscom Switzerland. You can see that we have distinguished some value proposition with different pillars which differentiates us in the market. On the infrastructure level, we're investing in the upgrade of our networks. We have now coverage -- a network coverage of 40-plus networks or over 40%, so that's a high coverage, also compared with the results of countries. We have an excellent customer service which we see in our Net Promoter Score. We're ranked as one of the most innovative companies in Switzerland and we're well positioned in the cloud business. On the product area, we have certainly a decent product portfolio converged in -- and broad portfolio in the B2B market and in the retail market. Brand awareness; that's important. We're the most trusted telecom brand in Switzerland. On Slide 9. Some information to our investments in Switzerland in the wireline networks. You see that we continue to increase our ultra-broadband footprint. At the end of Q2, we had 84% of our households which have speeds over 50 megabits per second. So a strong and good coverage. 3. 7 million customers have access to broadband networks above 50 megabits per second. Our target in 2020 is to have 85% on our ultra-broadband network, with speeds above 100 megabits per second. All IP transformation is continuing and the amount of customers which are already migrated is 75%. So we're on track in the migration to All IP network and phase out of our TDM networks. Slide 10. Some information about our new product, inOne, the new price plans which we launched in April. This product has benefit for our customers and you can see it on the chart, but also for our investors. Page 11. Only some information, what was the response of our customers. So overall promising response for our customers. It is an attractive converged offer with an approach more-for-more. On Page 12. The first results. It's still early to give a deep insight on the dynamics of our inOne product, but we're in line with our expectation. On the left side of the chart, you see that we have approximately 1 million customers which are our revenue-generating units which are already in inOne. This is a penetration in the region of 11% on our customer base and we have 582,000 customers or revenue-generating units in the fixed business and 342,000 mobile revenue-generating units in inOne. So a good take up, a good momentum also on the acquisition side. And interesting is to see to the ARPU development. So the impact on the blended ARPU is negligible. What we see is actually that we have a light ARPU uplift on mobile and in inOne home, so that's in the wireline business. We have to expect a right-grading. So therefore, according to our case, positive is certainly also to mention that our net Promoter Score is high with inOne than with our [indiscernible] for Vivo. And this will lead certainly also to more loyal customer base And also to a low churn level. We don't have a churn problem. The churn level is low. But we expect to get even a more loyal customer base. On Page 13. Some information about our wireless performance. Now we have a stable momentum with postpaid and a positive momentum with bundles. The revenue -- service revenue in the wireless business is stable which shows that Swisscom is able to keep its strong position and its strong service revenue in the mobile market. We have stable blended ARPUs and on infinity, the decline in the ARPU of infinity is through roaming and also dilution, because we have more and more -- more low-end customers on infinity. But stable ARPU, stable service revenue, that's the main message of this chart. On Page 14. The wireline performance in the retail business. Here we have a service revenue which declined by CHF30 million, from over CHF667 million, a decline on a year-on-year base by CHF30 million and this is actually due to the voice line declines. The ARPU overall is also stable and also the revenue per household is stable at CHF88. On the subscription base, you can see that we have still some growth on TV, but on the lower level; that the B2B business is -- broadband business is approximately stable and there's a substitution effect on the voice business. So same dynamic as in the previous quarter. On page 15. The converged performance in the retail business. Also here you can see that the service revenue increased because of an increased bundle penetration, that the service revenue went up on a year-on-year basis by CHF81 million. We have, in the middle of the chart, the fixed mobile penetration. You see that 29% of our households are in a fixed mobile bundle and 24% of our postpaid subscription are in a fixed mobile bundle. So overall the revenue-generating units in the bundling business went up by 782,000 revenue-generating units on a year-on-year basis. Page 16. Some information to our enterprise business. You can see, if you look to the revenue distribution that approximately 50% of the revenue in the enterprise unit is coming out of the telecom business and approximately 50% is from the solution business, more IT-related business. The telecommunications business, there we had a stable -- let's say, a stable service revenue which is a good performance in a market where we have roaming effects, but also effect from price competition. So a stable condition on the telecommunication business. On mobile, we were on a revenue-generating level, even able to slightly increase our revenue-generating units, the B2B -- the broadband business. That means the enterprise network, there we have stable revenue-generating units and we have a slightly -- decrease on voice, because of consolidation in the customer base. The solution business is also stable. On a year-on-year basis, Q2 was better than Q1 and shows that mid- long term solution business can be a growth dimension in the B2B market. Page 17 shows you our ambition and our actions on the cost level. So we're on track and according to our cost targets and our gross savings of CHF75 million, there we're on track. On page 19. Some words to Fastweb, to the wireline performance of Fastweb. We continued to increase our ultra-broadband coverage. We were able to increase the footprint and you can see it in the chart on the right side. Interesting is to see the development or the evolution of our customer base, ultra-broadband customer base. The whole customer base of Fastweb went up by 7%. And all proportionally up went our customer base -- our ultra-broadband customer base, that's important -- is important, because there we have lower churn and higher ARPU and therefore, much better customer lifetime value. The penetration of the ultra-broadband customers in the total customer base of Fastweb went up to 38%. So that's 6 percent points higher than a year ago. So good penetration in the direction of ultra-broadband. Page 20, the mobile performance. So as you know it, in May, we launched a new strong mobile proposition which you can see on the lower part of this chart. The bestseller is Mobile Freedom. It's a product for our customer base, for the broadband customer base of Fastweb for €9.95 with voice and data in it. And we're performing well, as you can see on page 21. So a strong commercial performance in mobile. We increased our customer base on a year-on-year level by 45%. The net adds in Q2 went up by 117,000 mobile subscriptions. And important is also the brand awareness. So Fastweb was able to increase the brand awareness in the wireline and wireless markets. Interesting is also to note that 80% of the SIMs which were sold went to the broadband customer base of Fastweb. And that's exactly the intention, to get a more loyal customer base in broadband. Page 22 gives you some flavor on our performance in the corporate market. So we have a good momentum in the corporate market, a good order intake, good performance in the corporate market. The order intake on a year-on-year basis, as an example, in the public sector went up by 28%. The financials of Fastweb on Page 23. Growing revenue, growing EBITDA and growing free cash flow. Revenue went up by 5%, EBITDA by 20%. If we take out the exceptionals from -- exceptionals in Fastweb, the EBITDA or the industrial EBITDA went up by 10%, despite higher commercial costs and our advertising costs. So the free cash flow in the first half year €106 million. Now I would like to hand over to Mario for some more specific financial information. Mario?
Mario Rossi: Thank you and good morning to everybody. Some additional information on the financial from my side. As we saw in the presentation of Urs, we had unchanged dynamics in Q2 in the Swiss business compared to Q1 of last year. On page 25, if you look at the retail business, we had exactly the same pressure on the service revenue in Q2 compared to Q1. This reduction of CHF60 million in the service revenue, CHF31 million come from the voice line losses and we have CHF8 million less activation fees on TV. This is also from roaming. The roaming impact is about CHF11 million. And then we have higher bundle-based accounts of CHF9 million. The enterprise business, the service revenue is exactly the same decline as in Q1. CHF9 million comes from mobile; that's the full impact comes there from roaming and CHF7 million from the wireline business. After a weak start in the solution business in Q1, we were able to change trends in Q2. You see that the better performance that comes mainly from the good performance of the banking basis in Q2, where we had some delays in Q1. The wholesale business -- in the wholesale business, revenues went down by CHF16 million. There were 2 major effects. MTRs were reduced. It has an impact of CHF29 million. There's no impact on EBITDA. Then we have higher incoming roaming revenue of CHF13 million. On Fastweb, very good performance in Q2 on revenue. Good business on retail and wholesale and flat business -- flat development in the B2B area. I think in these times of pressure on the top line, it's important that we manage our OpEx in the Swiss business. As was explained, we're well on track to reduce our indirect costs. You see the development there on the right-hand side. Personnel went down by CHF42 million, personnel expenses. We were able to reduce our FTE base by 456 FTEs in the first half of 2017. We have some less activated cost that comes along with lower CapEx than earnings in the first half in Switzerland. On the left-hand side, you see the development of the direct costs. SAC/SRC, we have higher costs related to the fixed line business, subsidized TV boxes and routers, that amounted for CHF30 million. And then we have less wireless retention costs of CHF14 million in the first half. The reduction of out-payments and goods purchased, as it comes along the development of the top line, of revenue, there's practically no impact on EBITDA, on a net basis. On the next page, EBITDA breakdown by segments. So on an adjusted basis, we're able to keep EBITDA flat in the first half compared to prior year. I think we saw the main impact in the Swiss business. On Fastweb, Fastweb had a revenue increase of CHF32 million. That was not fully transformed to higher EBITDA. That had 1 reason, that's the good performance of the mobile business, we had higher subscriber acquisition costs and higher advertising costs. Page 28, net income. Net income increased compared to prior year in the first half by CHF51 million. Different effects. So we had the higher EBITDA, mainly coming from exceptionals of Fastweb in the first half. Then we have lower depreciation, because the BPA provision of Fastweb is now fully amortized. This amount is now reduced. Then we have, of course, lower net interest. We still benefit from low interest environment. And in the first half of last year as we had the valuation of swap -- long term swap which had in the prior-year negative impact of CHF44 million. On CapEx, for the full year our guidance will be unchanged, despite the lower CapEx we had in the first half. We had in Switzerland some delays on our investment activities, mainly with the FTTx rollout that comes -- that's due to a change in the way we do our rollout. We change our methods from a traditional way to a totally contract model, where we will invest more or less CHF600 million, as expected in fiber rollout in 2017. The full year outlook will be unchanged. There is nothing special on the operating free cash flow, is tied to 1 element. We had an extraordinary payment to our pension plan of CHF50 million in Q2 that was agreed with the unions when we changed the plan in Q4 2016, the law of the future benefits for our employees. On the financing side, on Page 31, we had 2 transactions in Q2. We made a domestic bond, CHF350 million at very favorable prices, 0.375% interest rate with a maturity of 10 years. Then we signed a loan with the European Investment Bank for the Fastweb network rollout, €240 million, 7 years, that will be drawn probably in September. The average interest rate goes down, still goes down, it's now at 1.7% and you see the 2 big maturities in 2017. One was repaid, the CHF600 million at 3.75%. Then we did have the big refinancing in 2018. That brings me to the outlook. On an operational industrial basis, the outlook will be unchanged. And then we increased the outlook on EBITDA, because of the extraordinary income from litigation at the Italian level of CHF100 million. So it brings us to revenue unchanged, CHF11.6 billion, EBITDA CHF4.3 billion. And as I mentioned, unchanged CapEx of CHF2.4 billion. And next to Louis.
Louis Schmid: Or back to the operator for handling the Q&A session. Thank you.
Operator: [Operator Instructions]. The first question comes from Simon Coles at Barclays.
Simon Coles: I guess the first one is on competition. We've had a number of competitors read on their tariffs and also 1 has been very vocal about the sports content they have acquired. How have we seen competition playing out in 2Q and so far in 3Q? And then tied to that, with your inOne, I remember when you launched the tariffs, you talked a lot about how there's a number of mobile customers in Swisscom broadband houses. So you should be able to increase your average revenue per household. How has that developed and is that in line with your expectations? Then on TV. I know it's been a big driver of bundling over the last few years, but there was a bit of a slide down this quarter. Is this just approaching saturation in your base of the TV product?
Urs Schaeppi: Good. To the overall competition in the second half year, I think it really will be in the same -- on the same level as in the first half year. We have certainly a promotion-oriented competition. There will be some competitors which will make some noise on this sport content. But I'm convinced that this will have not really a big impact on our broadband or fixed business, because the sport content is still a relatively small market in Switzerland and the whole content proposition in the sport content market from Swisscom is really a strong one. So we have the most appealing content portfolio -- sport content portfolio. And from the price level, we will be -- we will adjust or we will have the right moves on the pricing side to be competitive in the sport content market. So I don't think that there we will have a too big impact on inOne. As I explained, we're on track to what we expected. And we have a better momentum in our mobile net acquisition and it's hard to say what is coming now from inOne and from other activities. But overall, we have a better momentum on the acquisition side in mobile and also the penetration -- household penetration is going up. You can see this also in our presentation. TV, yes Mario?
Mario Rossi: On the overall TV market, you have a slide in the backup on Page 46. There you see that we're now in a situation where the market is saturated. The TV development is in line with our expectations. But you see on Page 46, the growth is mostly coming from low-end products and from Swisscom TV lines. It's a [indiscernible] the dynamics when you look at the number of UPC. So we're in a phase of a saturated market.
Simon Coles: That's very clear, thank you. Just 1 quick follow-up. You said that mobile acquisition of inOne has been better than expected. Is that what's led to the lower second marketing in the mobile segment?
Mario Rossi: Yes, in the mobile segment, there are a lot of different elements. The majority of the subscriber acquisitions retention costs -- are retention costs. So that's certainly 1 explanation. Then what we see is slightly, but really slightly higher amount of SIM-only products. But it's also a bit seasonal.
Operator: We're going to Vikram Karnany from UBS.
Vikram Karnany: Couple of questions from my side. Firstly in terms of cost savings drivers. You highlight in your presentation increase in standardization and simplification. I was wondering if you could elaborate that a bit more and how significant are these items? And on the back of the progress that you have made so far, can we expect any increase in your long term savings target that you laid out of CHF300 million, as you still have, I recall, All IP savings which will kick in from 2018 onwards? And secondly coming back in terms of inOne proposition. Do you see the pace of migration similar to what you had seen previously with your infinity proposition, for example which I recall had like roughly 1/3 of the subscriber base which got migrated in terms of first year. And do you expect that to be broadly similar with inOne, considering that this is a fixed line launch as well and you probably would expect a bit of slower pickup with order backlog position and therefore, the right-grading impact could be felt a bit longer. So just wanted to understand in terms of migration, how should we anticipate the dynamics in terms of right-grading.
Urs Schaeppi: Okay. I will take the inOne question and Mario will take the cost question. To inOne, the penetration or let's say, the pickup in the market, I think it will cause a bit slower than the migration which we had in the past on infinity, because there you have the triple- play offer, the market is a bit less speedy than in the mobile. So I am convinced that we will have further increase of the penetration of inOne. But it will be a bit slow. And the right-grading effect, that's always the same. In the beginning you have the highest right-grading effect and then they are a bit coming down. That's for infinity and for inOne. Mario?
Mario Rossi: On the cost side, all these actions, simplification, reduction of complexity, that's the basis for reducing the number of FTEs. But you cannot, let's say, put the number behind these different actions, but that's the basis for reducing the number of FTEs. And on the mid term target, so we stick to our target of CHF300 million. CHF50 million we reduced last year, CHF75 million this year and in the next coming 3 years CHF60 million each. And the All IP calls, with the All IP pack, we will stop kicking, as you mentioned, in 2018, described a low amount and then we'll increase gradually until 2020.
Operator: The next question comes from Georgios Ierodiaconou from Citi.
Georgios Ierodiaconou: The first one is on your commentary around the TV pricing, potentially getting a bit more aggressive from you side in the second half of the year. I was wondering if you can give us an indication of how much you may be saving from losing some of this [indiscernible] and any savings on content that you can reinvest on the price? And then my second question is around Fastweb. We haven't seen a similar improvement in revenue that Vodafone will and Telecom Italia reported from the 28-day billing move. Is it possible to give us an idea of how much of a benefit you had already in the second quarter, how much you would expect to have in the second half, when you get the portfolios start coming through?
Urs Schaeppi: Mario will take the question on the 28- days billing cycle and I will come first to the pricing of TV or content. The overall pricing of TV, there we didn't make really changes. So in inOne, the TV pricing is approximately stable. Where we have dynamic is on the content market. There we're faced with more competition. The dynamic is that the cost of buying content rights are going up and more competition on the market side. So we have certainly some price pressure on the -- some margin pressure on the content side. And we have actually out in the market, promotion for content, for sports content and it is running well. So overall, I don't think that we have -- we will have major changes in the market because of this higher competition in the content of sport, because this is niche business, still a niche business in Switzerland and I think it will remain a niche business.
Mario Rossi: On the 4-weeks billing, it's offset some of the impact from Q2, the period, because it started to transform -- to implement 4-weeks billing in 4 ways in Q2. And the complete migration to this billing cycle will be completed in August. So we will see a real impact being visible in Q2 -- Q3 and Q4. And don't forget, it's only on 50% of the revenues, because the other 50% come from the B2B business, the wholesale business, there is no impact. And the impact on the second half should be around north of CHF10 million, that's included in the guidance.
Operator: The next question comes from James Ratzer from New Street Research.
James Ratzer: I had two questions please. The first one, just going back to your guidance. You've left the underlying guidance effectively unchanged in this stage. Yet, I mean, the EBITDA trends you're seeing in Switzerland at the moment is fairly flat. Year-on-year you are suggesting you see the competitive environment in H2 similar to H1. The trends in Fastweb look pretty good, you just talked about a further uplift to come with the move to 28-day billing in August. I am just trying to understand, what you see getting worse in H2. Why have you not actually slightly increased the underlying guidance? And then the second question I had was just actually a follow-on from my question about Fastweb. I was just trying to understand your consumer revenue trends in Fastweb at the moment, up around 4% to 5% in terms of revenues. Yet you are seeing kind of 7% in broadband customer growth, you are seeing migration up to ultra-broadband, you are now seeing more wireless revenue. Just trying to understand why actually the consumer revenue trends today in Fastweb aren't actually better than they already imply underlying dilution in the existing ARPU of the base. So I was just trying to understand the trends there on a bit more detail please?
Urs Schaeppi: I will take the Fastweb question and Mario the guidance question. In the Italian market, what we actually see is really aggressive promotion activities. And this -- and therefore we face some pressures on the ARPU side in the Italian broadband business and that's why the growth is not -- the growth of the customer base is not going 1-to-1 to the revenue development. That's a bit -- the main dynamic we have in the Italian market. The Italian market is very fast and this can change from 1 quarter to the other, but today we see a lot of promotion activity. Mario, on guidance?
Mario Rossi: On the guidance, on the Swiss basis, we had in the first half less roaming of CHF19 million. For the full year, we expect the impact of CHF50 million. There you have a different dynamic in the second half. And also on the fixed voice lines, we had slightly higher number in Q2 compared to Q1, is because we lost a lot of lines in Q3 and Q4 in 2016. There we see a slightly higher impact in the second half. And on the half, then I would say it's CHF10 million impact of 4-weeks billing, but that's not enough to change the guidance. So we feel now comfortable with this underlying unchanged guidance.
James Ratzer: So it seems like it could -- I mean, the things, though, even with the roaming drag you talk about, I mean that's a marginal deterioration in H2 versus H1. I mean, it would suggest as kind of more chance you're going to slightly beat that numbers and don't have to miss it.
Mario Rossi: Yes. But on the other side, compared to the original guidance, as I mentioned, a higher impact on the fixed line losses, but I would say the better performance on the roaming will be compensated by the less good performance of the fixed line business or the losses of fixed line.
Operator: We're moving on to Nicholas Prys-Owen from Jefferies.
Nicholas Prys-Owen: I just wanted to ask a follow-up question on the cost savings asked earlier, specifically around network virtualization and what cost savings it might be able to deliver. A number of industry players began to talk about how virtualization could be a bit of a game changer in terms of reducing their corporate and you seem that you are relatively advanced in this arena, given the [indiscernible] which you have signed and the launch of your Enterprise Connect product earlier in May. So I was wondering if you would be able to give us any color on how we should think about the virtualization opportunity for you, perhaps what quantum of savings you think and if you could deliver. And perhaps more specifically, in December you included virtualization as 1 of the legs of your CHF200 million program. So do you think virtualization savings are fully encapsulated within the CHF200 million number or could there be significant savings beyond that, perhaps after 2020?
Urs Schaeppi: Virtualization on our infrastructure, there we have actually 2 dimensions. One is on your IT infrastructure. There we will go in cloud with our own IT infrastructure. We're on the way to it. But that's always a long way, because you have to migrate all your applications to the cloud and this takes a long time. So you can't expect to have a big impact from -- cost saving impact from this virtualization short term. But mid- and long term, there will be impact -- positive impact on the cost. And on the network side, yes, that's clear that the network is going also in a more virtualized business model. But what you have to know is also that through the densification of the network, through the upgrades of the network to ultra-broadband network, there are also costs which are going up. So not all the savings that you can take out is through virtualization. We will go 1-to-1 to a cost decrease, because on the other side, you have cost increase. That's a bit of the general dynamics on virtualization.
Operator: We're going to Julio Arciniegas from RBC.
Julio Arciniegas: Looking at net adds of wireless and broadband subscribers, I do see that as you mentioned at the beginning of the call, the trend is very similar to previous quarter. But anyway I'm wondering why the trend hasn't changed. I would basically expect that have in mind that you are offering discounts with the new bundles. Why the trend hasn't really changed? I don't see any takeup change with the new convergent offer. And the second question is also related to inOne and the discounts. Some of the discounts in some of the bundles are quite high, above 20%, but you mentioned that you expect or you are seeing stable ARPU. Can you give us some color of your strategy, selling strategy, are you seeing rough inbound calls from consumers or you perceive that consumers they don't really call and you are being proactive trying to upsell consumers into higher prices? Thank you very much.
Urs Schaeppi: So the dynamic on our postpaid customer base or postpaid net adds is better than in Q1. If you're going in detail and also in the mix of postpaid acquisition, you can see that we have better dynamics there. And certainly 1 reason of it is inOne. But on the other side, the Swiss market is saturated and very promotional-oriented. And therefore, my message was always if Swisscom is able to keep, let's say, the customer base in mobile, broadband approximately stable, we're doing a good job. So the market is saturated. And it is important to work on the customer base, to keep the churn level low, to keep the ARPU stable and that we achieve. You can see that the churn levels are very low and that we have stable ARPUs. I think that's the positive momentum which you can see also on the service revenue development. I think we have to look much more to service revenues market share than just subscription market share, because it's different if you have an inOne customer with an ARPU of CHF90 or a low-end customer with CHF20. So on the net adds, on the discounts of inOne, you see in our presentation that we're on the way to increase our share of wallet in the customer base and it's a bit too early to really show the whole dynamics. But we're able to increase the revenue-generating units per household. And this actually shows that we're able to increase our share of wallet. That's the message.
Operator: Okay, we have no more questions in the queue.
Urs Schaeppi: Okay. Then I think we conclude today's presentation. Thank you operator and thank you everybody for participation and interest. Have a nice day and speak to you soon. Good bye.